Operator: Good day, ladies and gentlemen, and welcome to the Fortitude Gold's 2025 Year-End Conference Call. [Operator Instructions] And please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Jason Reid, CEO and President of Fortitude Gold. Sir, you may begin.
Jason Reid: Great. Thank you, sir. Good morning, everyone, and thank you for joining Fortitude Gold Corp's 2025 Year-end Conference Call. Following my extended comments and associated presentation for those who joined online, we will have a question-and-answer period. Joining me on the call today for the Q&A portion will be Ms. Janet Turner, our Chief Financial Officer. If you have the ability to join the web version, you will want to see the exciting exploration potential we have uncovered in numerous areas. I highly suggest you join the web version of this call. Let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call, are made only as of today, March 4, 2026, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks in our Form 10-K filed with the SEC for the year-end December 31, 2025. 2025 was a year of overcoming challenges, including the hangover from the long and arduous permit backlogs caused by the Biden administration and its anti-mining BLM. That backlog was being addressed near year-end 2025 and early 2026, when we were issued our new mine permits for County Line and Scarlet South under the new Trump administration. 2025 year-end results included $18.4 million net sales, $4.7 million cash balance on December 31, 2025, 5,236 gold ounces, 32,809 silver ounces produced, $29.5 million working capital at December 31, 2025, $5.8 million dividends paid, $0.4 million net income, $10 million mine gross profit, $6.3 million exploration expenditures, 1,104 total cash after by-product credits per gold ounce sold and $1,697 per ounce total all-in sustaining cost and 611 gold ounce rounds or bullion at December 31, 2025. Throughout 2025, we took decisive action to protect the company in the face of prolonged federal permitting delays and the regulatory overhang caused by the Biden administration that materially disrupted our operating time line. We reduced our dividend by 75%. We suspended all exploration drill programs. We reduced the exploration team. We relocated to a significantly more modest office space in South Colorado Springs and eliminated company-wide bonuses. Overcoming challenges included chasing mineralization deep in the bottom of the Isabella Pearl open pit to stay in business as a mining company. This required us to deplete our cash reserves for the better part of 2025 by removing waste overburden to access Pearl deep mineralization. This program was never previously contemplated, but became a possible option as gold climbed above $3,000 per ounce at that time. The alternative would have been to stop mining and along with that, most all other operations while we continue to wait for the permit backlog to be cleared by Trump. As I stated last year, a vote for Harris would have continued the erosion of the company's viability and a clear vote against a shareholders' financial interest in the company. Shareholders should keep that in mind on elections going forward and decide if they want U.S.-based natural resource companies and our company to succeed or not. Votes matter. Had Trump not been elected, it would be questionable what the company would look like today and what our future optionality would be at this point. Fortunately, under the new Trump administration, we were granted not only our County Line permits in September of 2025, but more recently, our Scarlet South mine permits as well. In addition, we waited for 4 years under Biden to be connected to the Nevada power grid, but to no avail. Early in the Trump administration as he addressed the energy backlog first, we were granted out of the blue and without prodding our power grid permit for the Isabella Pearl operation. What a commentary on how not only unproductive and inefficient but obstructionist the Biden administration was as it opposed U.S. business, U.S. mining and U.S. prosperity. As part of our broader cost reduction and efficiency initiatives, the company terminated its mine contract during September 2025 following a comprehensive review of operating economics. This marked a strategic transition to an owner-operator model, bringing our mining fleet and workforce in-house. With the anticipated increase in tonnage from operating 3 separate mines, we expect to realize meaningful economies of scale. By utilizing our own personnel and equipment, we project a significant reduction in per ton mining costs and improved operational control. 2025 was the most challenging year in the company's history. But thankfully, with the new administration in place and new mine permits being issued, we not only have a viable but a very exciting path forward. Our goal is to obtain as many additional permits as possible under the Trump administration in case the American people vote back in a Biden-Harris anti-business anti-mining administration in the future. To underscore the differences in administrations and how Trump is pro-mining, he just executed on arguably the largest revision to the NEPA permitting process in history. I will have more on the NEPA update at the end of this call. I feel like we lost 4 years of the company's business plan during those dark Biden era years and permit backlog. We got bucked off our horse, so to speak, but we have now climbed back on because of Trump. To help us get back on our feet, subsequent to year-end and in February of 2026, we made the strategic decision to raise capital by selling a limited amount of equity. We sold in a private placement 2.5 million shares of restricted stock at a discount price of $4.75 for proceeds of $12 million. The restricted shares must be held by the placement participants for a minimum of 6 months. We welcome our new shareholders as well as existing ones that participated in the placement. Post placement, the company has only 26.8 million shares outstanding as a producer operating multiple mines. Sometimes dilution is warranted. This was one of those times. In an industry where junior explorers have hundreds of millions of shares outstanding and many producers have 0.5 billion or over 1 billion shares outstanding, we proudly placed our tight capital structure against any others in the mining industry. Private placement use of proceeds will help advance our 2 new permitted mines in production, allowing us to reengage our exploration programs immediately and pursue additional mine permits for future longevity. Had we not raised capital, it was questionable if we would have been able to reengage our drill programs at all in 2026. With these current record-setting gold prices and the long lead times of this industry, the sooner the company can increase production and increase mine life as driving catalysts that would help the company see firmly back on the horse moving forward to maximize shareholder value. There were a few silver linings that came out of the challenging 2025 year. With our drill budgets cut, our geology team focused on solid grassroots, boots on the ground mapping and rock chip sampling programs. Areas of focus included both the southeast end of our Isabella Pearl trend near our operations and our East Camp Douglas property. The Southeast end of our Isabella Pearl trend is where we just began mining Scarlet South. This slide for those participating online, shows a great image of the Isabella Pearl mine processing facility, Scarlet South, Scarlet North from up on top of Prospect Mountain. Our Isabella Pearl trend is filled with geologic structures mapped at surface and high-grade rock chip surface sampled gold. These boots on the ground geologic programs identified 4 areas near the Isabella Pearl deposit on the east end of our Isabella Pearl trend that any one of them could be another Isabella Pearl deposit. I'm personally convinced given the historic Santa Fe mine south of our trend and our Isabella Pearl deposit on trend and our lockup of the 10 kilometers of this mineralized trend going to the Northwest that there will be another Isabella Pearl or Santa Fe as deposit to be discovered. We just want to be the company who finds them. On the right of this map shows our focus on the very southeast end of our trend. In the map on the left, the map's fault structures are noted as blue lines. Note the fault structures predominantly run in a Northwest direction along our Northwest mineralized trend. Many structures are associated with high-grade gold samples noted by the yellow and orange dots. We drew a blue circle around our Isabella Pearl mine at the bottom of this map to show its spatial area where we have been mining that deposit into its sixth year. We then superimposed that same shape for demonstration purposes on 4 nearby targets that have both the spatial, structural and gold potential to possibly be another Isabella Pearl. One or several of these could be our next sizable deposit. Even if none of them turn out to be the vast vein structures, vein swarms and gold samples on our trend speak to the potential that there are more Isabella Pearl deposits on trend. Our boots on the ground geologic efforts during the Biden permit backlog have generated these new targets. But let's focus for the moment on one particular target, the Prospect Mountain area. On this map, we added topo lines that demonstrate a mineralized vertical extent of 320 feet. Along this entire vertical extent, we can pull high-grade gold rock chip samples from the top of the mountain to its thinning down into the valley. That depth of vertical extent is analogous to how deep the Isabella Pearl deposits oxide gold horizon is. This target has the surface spatial structural vertical mineralized horizon and high-grade gold components similar to Isabella Pearl and mining down on this mountain topographically could provide far less waste removal than a pit layback on flat ground if it turns out to be a deposit. In addition, a small silica lithocap similar to the one on top of Isabella Pearl before we began mining it is also present on Prospect Mountain. This is yet another touch point that the Prospect Mountain area has many of the earmarks to possibly be the next Isabella Pearl. This excellent geologic mapping and sampling program was a silver lining that came out of maneuvering through the Biden era permit backlog. Back when we were drilling our Scarlet North target, we ended our last drill program in gold before the Biden administration's BLM chose not to grant us another drill permit under an NOI to keep drilling. Under this new administration, are there any guesses if we can drill this area again? We now have in hand another NOI to keep drilling this area, and we are moving to bring a drill here as soon as possible as part of the use of proceeds from the raise. Scarlet North could also be another Isabella Pearl, and both Scarlet South and Scarlet North have the potential to expand and perhaps even connect. We are also pursuing an exploration EA along the greater Isabella Pearl trend, which would allow us to explore far more area than the typical 5-acre NOI and explore larger areas more efficiently. This brings us to our East Camp Douglas property. Our boots on the ground exploration initiative of mapping and sampling work have provided us with an increased understanding of the geologic model. This vast district size property with its southern mineralized lithocap and northern high-grade gold veins has potential to host one of one or more deposits and perhaps a major discovery. On March 2, 2026, we announced the signing of a strategic $40 million joint venture on East Camp Douglas with Hawthorne Land & Minerals, LLC, a group with massive financial firepower. Fortitude retains 60% ownership is the operator. And when we are fortunate enough to find deposits, Fortitude is in the position to mine them. We look forward to working with Hawthorne, who shares our vision of the district to discover, develop and produce gold from East Camp Douglas in the future. In the next 2 years, we expect to deploy $40 million on East Camp to advance these efforts. This is an expedited and aggressive time line to not only discover and permit more projects, but to rapidly advance the property toward production under the mining-friendly Trump administration. Use of joint venture proceeds include drilling, exploration surveys, baseline background studies, rock characterization reports, et cetera. The goal is to make a deposit discovery in the shortest time possible in tandem with permitting efforts and if possible, discover and permit a project under the Trump administration with a longer-term goal of putting more mines into production. We welcome our new JV partner and appreciate the ability to now expedite the property far faster than we ever could do alone. We gladly share 40% interest going forward for this expansive, expedited and aggressive exploration and discovery effort. We can advance East Camp Douglas on a level never experienced before in Fortitude's history. Our ability to execute our business plan is directly tied to our ability to acquire the needed permits to bring new mines into production. With the new administration's pro-business pro-mining stance, the Biden hangover is now lifting fast. And we are positioned to remain a mining company now with multiple mines selling gold at much higher gold prices, which is another silver lining and with more mine permits in the regulatory queue. This chart inspired by one of our long-term shareholders and supporters, Mr. [ Bob G ], demonstrates the downward pressure on Fortitude's stock price as a function of the Biden era permit backlog and the damage it inflicted to our company and the upward momentum of Fortitude's stock price as a function of the pro-business pro-mining Trump administration. We are coming off a 2025 year where we produced the least amount of gold in our company's history to now having 2 new mine permits as we race to get them optimized and increase production. We are also now positioned to begin drilling immediately from both a permit and available capital standpoint at County Line and the Scarlet areas, targeting additions to our mine life. We are also positioned to obtain every permit possible under the Trump administration. In addition, our new JV at East Camp Douglas is a transformational moment for the property to advance it on an expedited basis. We said goodbye to the challenges of 2025 and are excited about all our prospects in 2026 and this incredible gold price environment. Before closing, I want to read a portion of a press release from the U.S. Department of Interior dated February 23, 2026. This highlights the efforts this administration is taking to help the industry. Under the leadership of President Donald J. Trump, the Department of the Interior today announced final sweeping reforms to its National Environmental Policy Act, or NEPA, procedures, cutting red tape, accelerating project approvals and restoring NEPA to its intended role as a focused, efficient decision-making tool. The reforms led by Interior Secretary, Doug Burgum and part of a whole government approach reaffirms the recision of more than 80% of interiors' prior NEPA regulations with the majority of those regulations moved into a streamlined departmental NEPA handbook for implementing procedures. The PR goes on to say the action follows the White House Council on Environmental Quality's recent confirmation of its own rescission of NEPA regulations, clearing the way for the agency to modernize outdated and duplicative requirements. For decades, NEPA has been twisted into a weapon to block American energy infrastructure and conservation projects said Secretary of the Interior, Doug Burgum. Under the leadership of President Trump, this administration is fixing that. We are cutting unnecessary bureaucracy, speeding up approvals and putting Americans back to work while enforcing NEPA as Congress originally intended. The reforms represent one of the most consequential permitting overhauls ever undertaken by the department. This is a decisive step toward fixing a broken permitting system said Associate Deputy Secretary, Karen Budd-Falen. In addition to that press release, about 2 weeks ago, Mr. Burgum stated on national TV regarding the need to focus on mining that last year, the U.S. graduated only about 300 mining industry graduates. He went on to say that we have to get back to mining for the economic and security interest of the U.S. What a positive impact this administration is making on the industry. During Biden's tenure, he obstructed, prohibited and continued to break the mine permitting system. Fortitude had to survive that onslaught that damaged our business plan. But fortunately, Trump is actively delivering our permits and fixing the situation. This couldn't happen at a better time as we look to increase production, pursue new mine permits and move into a very aggressive exploration push to find deposit discoveries. With that, I would like to thank everyone for their time today on this conference call. Operator, would you please open up the lines for any possible Q&A.
Operator: [Operator Instructions]
Jason Reid: Operator, while we poll for questions, we do have several that came in via e-mail, so I'll get to those now. The first question is from Peter G. Your company has strongly opposed shareholder dilution. Obviously, you announced a recent capital raise, which increased share count. I assume you did not make this decision lightly. How confident are you that the additional funds will eventually increase the gold resource and gold production more than the share count? Peter, thank you for your question. You are correct. We don't take this lightly. And I think it's evident that even after that raise, we have arguably one of, if not the tightest capital structures for a producer in this space. Like I mentioned in my comments, most junior explorers nowhere near production will have hundreds, 200 million, 300 million, 400 million shares outstanding, nowhere near production. Most producers, $0.5 billion, $1 billion. We have now just 26.8 million shares outstanding. That is an incredibly tight capital structure. So while this raise did dilute, it's very minimal in the big picture. And yes, it was necessary. We don't take it lightly. Thank you for the question. The second question from Dr. Joe C. 3 parts. A, processing capacity. With Pearl Deep Scarlet South and County Line now delivering ore to the Isabella Pearl facility, could management comment on the current crushing and heap leach throughput capacity and whether the existing infrastructure can support higher production levels as these mines ramp up? Great question. We have actually installed our much larger crushing system that we purchased for the Golden Mile. We've installed it at Isabella Pearl. So the existing crusher was about 250 tonnes an hour. The new one is 800 tonnes per hour, huge increase. So we did that as a function of trying to maneuver through the permitting backlog and not spending extra money, knowing we'd have to crush more as we pull from various areas. So we're out in front of that. As far as the heap leach, we plan an expansion this year. We do have space right now, and we'll continue to utilize that. But yes, we're going to be bringing ore from a lot of different areas. We do need to increase capacity. And so that's in the works as well. So your part B of your question, Isabella Pearl trend development, given the roughly 10-kilometer mineralized trend at Isabella Pearl, including Pearl Deep, Scarlet South, Scarlet North and additional targets, how many open pits could realistically be sequenced along this trend using the current processing infrastructure? Dr. Joe C, I hope there's handfuls of them. That's the champagne problem we want. As far as throughput, I think is where your question drives. Could we expand in the future? Yes, we could. But more importantly, I want to get to where we maximize mine life and get out to that 10-year mine life. So if we're fortunate enough to have Scarlet North, Prospect Mountain, one of those targets I mentioned in the conference call becoming the Isabella Pearl or if we're real fortunate at 2 of them or others along this trend, the whole point is to be here for the long game. So I'm less concerned about increasing production throughput right now and more concerned with just adding mine life so that we are the ones to continue to find these mines that I believe will be on trend. I see your third part of the question is production stabilization. As operations from the 3 mines settle in during 2026, can management give investors a sense of what a normalized quarterly production level might look like once the ramp-up phase is complete. Great question. Dr. Joe C, unfortunately, no, we're not going to forecast right now. We might not even forecast this year. We have so many balls in the air. We're bringing on 2 new mines, a lot of moving parts. Whatever we would forecast would likely be wrong. So I think we're just best not to. But the whole goal, obviously, is to ramp up production. Okay. So with that, operator, are there any live calls before we get to the platform?
Operator: Yes, sir. We have a question from Gary [indiscernible], who is a private investor.
Unknown Analyst: Jason, congratulations on all the permits and getting everything started in this joint venture. It certainly seems like it's -- things are happening there. I just -- I had a question about the -- in terms of like the commitment that you got on the JV, $40 million puts an implied value of about $100 million on East Camp Douglas. Can you just give us a sense of what you guys saw and you guys talked about with the JV partner that got them so excited?
Jason Reid: Okay. Yes. No, it's a great question. They're seeing what everybody else is seeing. And this property has been looked at by a lot of industry players. And that's why I mentioned in some of my comments that we've actually had inbound from majors, major mining companies that are very interested in the property that we're. And like my comments in the press release, we couldn't get a good deal with them. They wanted to take control. They wanted to call the shots on what the exploration would look like. It just wasn't good for shareholders, so we didn't go that direction. The JV that we did do is a very favorable deal for both parties. We will gladly share 40% of what we find for the ability to expedite exploration. But the whole deal for me focuses on we stay in control. We have 60% interest. These are things that we could have never got with the majors. So specifically coming back to your question of what things did they see that perhaps you haven't seen, nothing. I mean they're looking at this from the geologic potential. We have a huge litho cap. It's mineralized. These are the style of deposits that can be multimillion ounce. We have a high-grade component to this. We have a lithocap that could be -- is very sizable. It's also a challenge to explore. But again, that's why we're doing a big exploration budget, but we also have high-grade veins to the north. So the potential for not just one style of deposit, but a couple is there. So again, come back to your question, I'm not sure they were looking at anything that you weren't looking at. It's just they had the Fortitude were intended to pull the trigger on, let's do this, let's go find one. They are in line with us that there could be something serious there, and we want to be the ones to find it. So yes, I don't -- they weren't per se privy to something you haven't seen, Gary.
Unknown Analyst: Okay. Well, that's good to know. I get that you don't want to give any like production guidance or anything for the year as you guys ramp things up. But you've got a significant amount of inventory sitting on the heap leach pad. Is it safe to assume that you guys are going to be in a position where investments aside in ramping production, like you'll be generating a good amount of cash throughout the year to fund some of that?
Jason Reid: Fund some of what?
Unknown Analyst: Of the different expansion projects and those types of things?
Jason Reid: Yes. Okay. Well, we did the raise in large part to help us optimize the 2 mines. We never thought we'd get -- be building 2 at one time. We're like drinking from a fire hose coming off the back of a very difficult year, difficult administration. As far as the residuals on the heap leach, those are always complicated. You really can't -- yes, it's going to come off, but you can't count on a forecast because you have so many levels to a heap leach. You have cells under -- as a checkerboard, if you will, on every level. Every cell was under different time frames. It's very challenging to forecast that. And yes, you don't want to live off residuals. So I would say to everybody, don't focus on what's the historic stuff that's been on the heap, that's not the focus. You have to put new fresh ore. That's where we make our production. That's where we are able to forecast better. So yes, that's the push. Hence, the push to put 2 new mines in. We fortunately have the permits. We're moving forward on that. We have 2 more in the queue being Golden Mile and Scarlet North. And yes, the whole focus needs to be putting fresh ore on. You get this big shot in the arm initially according to the metallurgical studies we've done. And then it just takes a long time for the rest to come out. I mean it could take years. So it's very hard to forecast that. So yes, we -- coming back to your question, we don't look at the heap and say, hey, yes, we can count on that coming out at X percent, X time frame. No, we need new ore on there with that big shot in the arm, and that's the push. Does that answer your question?
Unknown Analyst: Yes. That's helpful. Congratulations on everything you got going on.
Jason Reid: Thanks, Gary. I'm going to take -- we have a bunch of questions piling up in the platform. So I'm going to take quite a few of these here. This is from [ Harvey Volen ]. It says, please explain the use of the $40 million in the JV. When will Fortitude spend its own funds? Harvey, good to hear from you. It's been a while. The $40 million is actually -- if you want, it's spelled out, it's actually in the 8-K in the back as an attachment for the funding. But you're going to see drill -- massive drill programs. You're going to see a lot of assay costs. You're going to see a lot of new geo hires. You're going to see all the overhead associated with those geo hires to build a bigger team to explore this property. You'll see it all spelled out in that. So if you want to delve into that, it's in the back of that 8-K. When will Fortitude spend its own funds? We won't spend any money until the $40 million is fully spent. So the way the deal is structured is that Hawthorne will spend up to the $40 million. If they ever choose not to go to the $40 million, they lose their interest. So we expect them to spend the $40 million, which puts us in a great position to absolutely aggressively explore this in the next year to 2 years, we will have hit this as hard as possible. And I believe we're in a good chance to find one, if not more deposits. At that point, when the $40 million has been spent, then we pro rata our 60-40 on anything going forward. And then hopefully, at that point, we've already have delineated a deposit or we're designing it. We're looking forward to building it. And yes, that would be the -- hopefully, what's happening at the time that we're then asked to start kicking in our 60%. Great question. The next question is from Ben [indiscernible], could you comment on the return on investment for the Pearl Deep? No, I can't, Ben. It's a good question. The Pearl Deep, we didn't have a "formal resource" for it. We knew this mineralization pocket was down there even in the initial mine plan, but it didn't make the original pit shell to begin with. Of course, that was back in 1,800 gold probably. So as the Biden permit backlog was crushing us, we had to decide are we going to shut down or are we going to keep mining. And fortunately, gold hit 3,000, which gave us the optionality to rerun some numbers for the Pearl Deep. And yes, we made the decision to stay mining instead of shut down operations. We won't know until we ultimately mine this. There's a lot of moving factors, one of which is as we go deeper and start getting into that transitional ore that you can process some of that transitional ore. But as you fully transition to the sulfides, we can't process that. So we don't quantify exactly how much. So yes, we -- I can't tell you the return on investment. That was never part of the plan. I want to say that again, that was never part of the plan. That was a maneuver to try to stay in business as a mining company as Biden locked everybody out. So thankfully, gold was high enough that it gave us that optionality. So yes, that's just -- I don't have a return on investment on that, but great question. The next question, Ben, again. Are there any issues with availability of drilling equipment crews? [indiscernible] have several parts of this, so I'll address that. I fully expect it to be very hard to get drilling companies. As gold spikes, having lived these cycles in the past, drill crews become scarce. They get busy. There's not enough of them. And I'm sure a lot of mining companies are being formed right and left as gold hits $5,000. So yes, we're trying to position ourselves to lock up drill rigs, drill crews for the long term, try to sign long contracts like East Camp, we're going to be able to sign very long contract, which keeps drillers very motivated on that. The sooner you can do it right now, the better. Another reason not to wait around until all the drill crews and companies are fully booked. Yes, you go on to say, would there be any benefit to hiring in-house drill teams in terms of cost savings and for uninterrupted ongoing drilling so that the drilling is always ahead of current mining. Yes, on a high level, that sounds reasonable, Ben. We've done that, and it just hasn't worked for us. It's a specialized situation, and we want to be a mining company. I'd rather farm out the drilling. The times with the previous company that we bought drills and brought them in-house, it just didn't work out. So having lived that, yes, we're not looking at that to go down that road again. Okay. Let's keep going here. Next question by [ Gary Simmons ]. Where -- how fast can you get the people for expedite East Camp Douglas and Isabella Pearl for exploration. Great question. I'm actively working with Al, our VP of Exploration. We just locked up a bunch more apartments for the new team we'll be hiring. He's actively recruiting new team members. So yes, we're gas pedal to the floor here trying to staff up for the East Camp Douglas. It's very challenging in this industry. As I mentioned in the comments, Doug Burgum mentioned that the U.S. only graduated 300 people in this industry. There's not a lot of the people in this industry that know what they're doing or in the industry in general. So competition is absolutely fierce. We have just recently lost a number of people to poaching. We'll be trying to poach back. But yes, it's a cutthroat situation, Gary. And yes, we're on it. We're doing all that we can to build that team. So good question. The next one is [ Pete Mumford ]. The current balance sheet shows financial lease liabilities. Is this a result of bringing the mining in-house? Yes, that will be the equipment, I'm sure. We are now leasing mining equipment. The next question from Adam. What plans do you have for the remaining sulfide gold. Is there a way to extract sulfide in parallel with oxide? Great question. Adam, we actually have a huge stockpile of sulfide gold, and we're looking at possibly selling it and just having a major who can truck -- we can truck it down the road and they can process it. So we're looking at that optionality. But no, we can't keep mining it. That was just in the function of mining from our permit perspective and when we deal with -- when we hit oxide. When you get into the thick heavy oxide stuff, you're usually below water table and our permit doesn't allow us to do that, nor do we want to go fight for the ability to do that. But good question. The next one from [ Dave Nickerson ]. Can you tell us a little bit more about Hawthorne Land & Minerals? Yes. Dave, we're getting this question a lot. All I can say is Hawthorne Land & Minerals, LLC is an extremely affluent nonpublic company that prioritizes its privacy. That's as much as I will say regarding who they are. But they do clearly share our vision of what East Camp could become. And together, we're positioned to make a significant discovery, assuming one exists on the land package. So great question. The next question from [ Michael Wolfe ]. What is the possibility of returning to the previous level of dividends? What is the possibility of shareholders receiving dividends in the form of gold coins or bullion? The first part, yes, ultimately, we'd like to someday be in the position to increase dividends. I think you get the gist of listening to the conference call, we've got fully bucked off the horse. I don't think people truly understand. If you're on this conference call and you voted for Harris, how close your vote was to putting this company under. Let that sink in for a minute. So had the election not gone the way that it did, this would be an entirely different conference call. This would be what does the company do now, out of business, not being able to mine, not being able to get drill permits. I can't underscore that enough. If you listen to this conference call and you voted for Harris, you would have put this company out of business. So when I come back to the dividends, yes, we'd love to get back there, but we got bucked off the horse. So we're trying to get back on. We are getting back on. And yes, I mean, we still pay a dividend. So we're still committed to it. But yes, it's going to be a minute before we can do that. And then your second part is, what is the possibility of shareholders receiving dividends in the form of gold coins or bullion. We're not going to probably do that again. Greg and I figured out a way to convert the cash dividends into physical and have shareholders take delivery of it with our previous company. It was the first of its kind. It was a lot of work. And in the end of the day, we maybe had 400 participants. So because of that, now like if you want our coins, you can go to the website and buy them. We don't have gold available yet. We'd like to ultimately do that. It's pretty tough when the gold price is moving so fast for mints to get a hold of rounds and then lock in prices and stuff. So it makes it a little more complicated, but they are minting silver, so you can get them that way. Next question is [ Charles Fremont ]. As an adviser of CleanTech Vanadium, how much of your time will be diverted from FTCO? Yes. Look, I will work as an adviser with CleanTech Vanadium, and I can advise them and help them move their projects forward without impacting anything here. I don't want to -- I don't have a specific time frame, and it may ebb and flow depending on what's happening with CleanTech. But yes, that's just an advisory role, and I don't expect it to impact anything I'm doing here. With that, we've gone to a lot of questions. And I guess if you're in the queue and you haven't had your question, please reach out to Greg or myself. But I've talked enough today. I think he gave you a lot of information. And let's close the conference call and look forward to updating you next quarter. And yes, it's an exciting time now. Thankfully, we have an administration that has changed our trajectory. So thank you, everybody, for listening, and we'll talk to you next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude today's call. You may disconnect your lines at this time, and we thank you for your participation.